Operator: Good afternoon. My name is Don and will be your conference operator today. At this time I’d like to welcome everyone to the CNET Networks fourth quarter final results conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question and answer session. (Operator Instructions) Nicole, you may begin your conference.
Nicole Noutsios: Good afternoon. Before we get started I’d like to remind you that this call is being webcast. The webcast can be accessed on the CNET Networks’ investor relations website at IR.CNETNetworks.com. A replay will also be available shortly after the completion of the call. I’d like to remind you that in the financial news announcement released today and also on the call CNET Network is providing specific forward-looking statements including statements related to our future business plans and strategies including market focus, advertising sales and potential acquisitions and business partnerships and guidance related to our expectations of future financial performance. Any forward-looking statements made as part of our news today are subject to risks and uncertainties that can cause actual or [inaudible] results to differ materially. These risks are outlined in our fourth quarter news announcement as well as in the company’s Securities & Exchange Commission filings including the 10K for the year 2006 which can be obtained from the SEC’s website or directly from our investor relations website. All information discussed on this call is as of today, February 5, 2008 and CNET Network undertakes no duty to update this information. Last but not least, you can find a reconciliation of the non-GAAP financial measures that we use in our news release and on this call to GAAP financials on the last pages of today’s news announcement. Hosting today’s call is Neil Ashe CNET Networks’ CEO and George Mazzotta our Chief Financial Officer. Following their prepared remarks we will host a brief question and answer session. To facilitate the question and answer session we will be muting the line following each question and we’ll take follow up questions if time allows. Now, let me turn the call over to Neil.
Neil M. Ashe : Thank you all for joining us. CNET Networks operates websites, some of the best in the world. Our brands offer content rich environment for millions of engaged people to participate in topics that they care deeply about. Collectively, we comprise the 10th largest Internet audience on the web. Our premium brands have consistently and repeatedly proven that they deliver for today’s marketers. We compete in a fast paced industry where change is constant. CNET Networks has consistently demonstrated the ability to innovate both to lead and to react to these changes, 2008 will be no different. We enter 2008 with a solid management team, a quality collection of properties and a balance sheet that gives us the financial flexibility to continue to create value for all shareholders. We are pleased with our performance in the fourth quarter and I’d like to provide you some highlights for both our fourth quarter and our full year results. The number of people and the time that they spend with our properties continues to grow. During the fourth quarter we reached 148 million monthly unique users who consumed over 87 million pages each day. Time spent across our properties continues to grow up 12%. Total revenues were $125.5 million up 11% from the year ago quarter. Display advertising revenue increased 20%. For the full year total revenue was $406 million up 10% from 2006. Display advertising revenue for the year increased 17%. As we look back we should note that the last two years have presented significant distraction for our company. At this time last year we were in the midst of a stock options investigation, we had a significant number of open senior management positions, we had an underperforming asset in WebShots and we had a balance sheet which afforded us limited financial flexibility. As we enter 2008 we are clearly in a better position to capitalize on opportunities to create shareholder value. The options investigation was closed by the SEC and is behind us. We have recently rebuilt our executive management team and with five new hires in place the ability of our senior team have been improved. Our newly configured team of creative, proven professionals share an enthusiasm for building on the strength of CNET Networks and we are prepared to make the changes necessary to make CNET Networks grow faster and be more profitable. We have refocused our time and resources on areas that represent the most potential for us and in which we can be leaders. First, we launched BNET in 2007. Now reaching over 6 million business professionals each month BNET is larger than Business Week and Wall Street Journal Online among many others. Next, we sold WebShots. WebShots did not fit with our strategy of operating leading brands and was a drag on revenue growth and user and page view growth. In effect, we have exited the highly competitive photo sharing space and successfully entered the much more attractive business media arena with a top product. We are committed to opening up our properties, getting our content out into other environments and integrating more third party content into our sites. In support of that, we introduced CNET Networks open content platform. This is an easy, scalable way for CNET Networks to share content with publishers from around the web giving consumers access to the content they want where they want it. We enter 2008 with much greater financial flexibility. With over $100 million cash on our balance sheet and access to an additional $190 million through an unused credit facility. Collectively, this progress gives us the team, assets and financial flexibility to continue to create value for all shareholders. As we look forward we start from a great position. CNET Networks has been at the forefront of the Internet since our launch in 1994. Our company is large and profitable because we have consistently lead or adapted to the innovations of the web. We recognize that in the fast paced environment in which we compete we need to change and we embrace that change. Our strategic priorities for this year are to focus on our key brands, to alter our business model in ways that can reaccelerate revenue growth while at the same time we find efficiencies to expand our operating margins and to recognize the value of our China business and to accelerate its growth. We have demonstrated a unique ability to launch, build and operate multiple online brands. The reach and scale [inaudible] supports this is essential to our long term success. At the same time not all opportunities or brands are created equal. We recognize the need to focus a majority of our effort and resources on those brands which have the ability to be category defining. These brands are and will be central points for marketers to connect with their target audiences. As our flagship brand CNET is priority one. Today, by any metric, CNET is the largest technology media brand in the world. CNET has award winning journalism, the best and most complete collection of reviews on the technology and consumer electronics products on the market, more and higher quality video programming on technology than anyone and provides a gateway to the most important webware and software titles available. For CNET to continue to succeed it must continue to evolve. In 2008 the brand that is known as the leader in tech media will again behave like it is a challenger. While we will not lose what has made CNET special we will take risks and we will revitalize the brand. Specifically, we will focus on changing the product. We have done significant work on our platforms which will allow us to be dynamic to innovate on the user experience. We will evolve what we cover and how we cover it using more voices, more participation from our users and more video. We are very excited about CNET the challenger. The challenger that already has many of the most talented journalist in the industry, that is already regarded on the authority on almost all things related to technology and consumer electronics and that already welcomes more visitors everyday than many of its competitors has in a month. CNET will be known as a fresh cutting edge center of a world gone digital. With coverage that continues to lead the industry, CNET will be more relevant in news, reviews and services than it has been at any time in its history. BNET is our next area of focus. BNET launched in March of 2007 and while it is our newest brand it has certainly started off with a bang. Last year we identified a large unmet opportunity in the marketplace to provide action oriented business professionals with the content that they need to solve everyday business challenges. In 2007 we built and launched a property that filled that need and wowed the industry. Already BNET has been recognized with gold folios for best B to B website and best B to B website design. During the fourth quarter we acquired FindArticles. In order to get access to a wealth of original content from journals, magazines and other print sources on essential business topics. We have only started to effectively integrate this content into the BNET experience and traffic has already skyrocketed. Thanks to our original content combined effectively with relevant content from some of the most important business sources in the world, BNET has become the trusted advisors to more business professionals each month than Business Week or the Wall Street Journal Online. In 2008 BNET will continue to provide practical and relevant information and tools for professionals to realize business success and personal growth. In addition to CNET and BNET our focus will be on GameSpot, TV.com and CHOW creating a portfolio of category defining brands. Our other brands will play important but supporting roles. In addition to our focus on key brands, we are making changes to our business model in order to grow faster and become more profitable. In the past, we have discussed the changes we have made in our sales organization so that we can deliver our entire network to large advertisers. We expect these efforts to benefit us in 2008. To drive additional revenue we are pursuing opportunities to increase the yield on our properties as well as testing efforts to sell off network inventory. First, on increasing yields; we are exploring third party sales partnerships. While we are successful in our core category and confident in our progress with large advertisers the portals have expanded their sales reach and targeting capabilities in ways that complement our efforts. We believe we can develop a third party sales partnership in early 2008 for a minority of our inventory that will generate incremental advertising revenue. We are also testing efforts to sell off network inventory. Our flagship brands and advertising relationships in technology, entertainment and business media give us a differentiated platform to complement our owned and operated packages with inventory from third party publishers. We are currently testing this in technology with CNET. We are also working to effectively syndicate our branded media environment in fully monetized ways. As I mentioned earlier we launched the open content platform to effectively important and export content in a fully branded ad supported manner. Launch partners range from blogs to Monster. To drive additional profitability, we are continuing to evaluate those businesses and operations which do not meet our profitability or efficiency expectations. One area of focus is our international operations. We have had success growing revenue but we have not been as successful expanding margins. Our International business unit has grown revenues 66% since 2004 and delivered $5.6 million of contribution in 2007 for a margin of 6%. We are aggressively evaluating our current geographic and asset mix. In an effort to bring our international margin closer to our domestic margin of 24% we will look to rationalize resources in geographies where our performance is subpar or where our market opportunity is limited. We expect these changes to deliver higher margins in our business and we are focused on achieving at least 25% EBITDA margins in 2009. Since these initiatives will be ongoing through the year and their specific impact on 2008 will depend upon their timing, we are providing financial guidance for the business as it exists today. Third, through internal development, acquisition and superior execution we have built a valuable business in China that has excellent growth potential. We have built a large media business with leading technology and auto properties that are growing and gaining scale and we continue to find attractive acquisition opportunities. Early this year we expanded our leadership position in the auto category with the acquisition of Cheshi. When combined with our auto properties XCar and GoCar we are now the category leader. Our success in the autos category follows on our success in the technology category and we believe is an indication of the success that we will have in lifestyle and other categories. We have built a valuable business in China and in an effort to accelerate its growth we are considering raising capital from local partners. We are evaluating partners now and we expect to make a decision in the second quarter. Before I turn the call over to George I’d like to spend a few minutes on today’s CFO announcement. Zander Lurie has been appointed as CNET Networks net chief financial officer. He will replace George Mazzotta who has resigned as chief financial officer effective March 7, 2008. George’s decision to retire came after he fulfilled his commitment to put the stock option investigation behind us and to build a world class finance organization that will support the company’s business strategy and future growth. George will continue as CFO through the completion of the 2007 financial reporting process to facilitate a smooth transition. George has been a valued partner to me and he has made very important contributions to our company and we all thank him greatly. It is a measure of the strength of an organization to have a deep and strong branch of executive talent as exemplified in Zander. As CFO Zander will be responsible for oversight of finance and accounting, investor relations, financial planning and analysis in addition to corporate development. As many of you know Zander has lead our strategy and development efforts and has been an instrumental member of the senior management team. Zander’s combination of industry knowledge and experience in capital markets, financial and strategic planning complements the deep expertise of our existing finance team. I’m pleased to have Zander in this role as we transform the business and I again would like to thank George for all that he has done for CNET Networks. With that, let me turn it over to George.
George Mazzotta : My comments today will first focus on our performance for the fourth quarter and then full year results before concluding with our guidance for first quarter and full year 2008. As a reminder, the recent sale of WebShots is treated as a discontinued operation for accounting purposes. This means that the fourth quarter net operating results of WebShots is reflected as a separate line on our income statement labeled discontinued operations. In addition, the historical operating results of this business are removed from continuing operations within our financial statements for all comparable periods beginning with the first quarter 2007 financial report. To facilitate the process of updating analyst models we posted pro forma financial results excluding WebShots from historical periods on the home page of our investor relations website and in an 8K issued last month. We are pleased to report a strong finish to the year with total revenue for the fourth quarter of $125.5 million which is an 11% increase from $113.1 million last year. Our revenue growth was driven by a 20% increase in display media revenue. We experienced growth in display media revenue across our entire network most significantly from our international operation but also from our CNET entertainment and business properties. As we discussed on previous conference calls we exited our events business in China and the UK, our media operations in Korea and our [inaudible] business in the US during the fourth quarter of 2006. Combined, these businesses contributed about $3.2 million of revenue during the fourth quarter of 2006. Excluding these closed businesses from our fourth quarter 2006 results total revenue during the fourth quarter of 2007 would have grown by 14%. Marketing services revenue increased 12% to $113.7 million driven primarily by a 20% increase in display media offset by declines in other marketing services revenue, namely search revenue. Excluding closed businesses marketing services revenue would have grown 14%. License fee and user revenues increased 2% to $11.9 million during the fourth quarter driven largely by growth in our channel data licensing business. A stable advertiser base supports our revenue growth. Across the entire network our top 100 US customers represent 55% of total revenue. We also experienced a high renewal rate from our top advertisers as 94% of our top 100 US customers that did business with us in the third quarter renewed with us in the fourth quarter. On a segment basis US media revenue increased 7% to $94.7 million in the fourth quarter. Excluding closed businesses US media revenue would have grown 8%. International revenue increased 26% to $30.8 million during the fourth quarter. International growth was driven by increases in display revenue from both our existing properties and recently acquired interactive businesses in China and France. Excluding closed businesses and adjusting for foreign exchange, international revenue would have grown 23% from last year. Total cash operating expenses during the fourth quarter which exclude depreciation, amortization, stock compensation expense and costs associated with our stock option investigation were $89.3 million. This reflects an increase of 7% from $83.1 million last year. Nearly two thirds of the $6 million year-over-year increase in cash operating expenses can be attributed to investments in our international business. Expense mostly associated with newly acquired properties in China and France. The balance of the year-over-year increase is related to investments in our core domestic brand such as CNET, Entertainment and BNET. Expenses associated with our stock option investigation were $8.4 million and represent legal, consulting and independent auditor fees. Operating income as reported for the year was $16.2 in 2007 compared to $7.5 million last year. Operating income for the year excluding depreciation, amortization, stock compensation impairment and investigation fees was $79.7 million compared to $72.2 million last year. This represents a 20% margin comparable to last year. On a reported basis full year 2007 net income was $176.8 million or $1.16 diluted EPS compared to 2006 net income of $6.8 million or $0.04 diluted EPS. Net income for the year excluding stock compensation expense, investment gains, loss from discontinued operations, investigation fees and a tax benefit related to our valuation release was $36.7 million or $0.24 diluted EPS. This compares to net income of $41 million, or $0.27 diluted EPS last year. For the full year we generated $61.8 million of cash from operating activities or $71.1 million excluding fees associated with out stock option investigation. We invested $27.3 million in capital expenditures which resulted in $42.8 million of free cash flow. Nearly half of our 2007 capital expenditures have supported our international operations and represent investments in newly acquired businesses, and new facilities for key markets such as China and the UK. The balance of our 2007 capital investments have supported domestic business expansion. Now, I’d like to provide you with CNET’s financial guidance for 2008. For the full year 2008 we expect revenue to be within the range of $440 to $460 million which represents growth of 8 to 13%. Operating income before depreciation, amortization and stock compensation expense is expected to be between $88 million and $96 million for the year. Earnings per share is expected to be within the range of $0.06 to $0.08. This estimate reflects a full GAAP tax rate of approximately 55%. Our estimated GAAP tax rate is higher than we would normally experience due to estimated tax operating losses from certain foreign entities from which we will receive no tax benefit. We estimate that stock compensation expense will be approximately $20 million or $0.06 per share net tax. We also expect to invest approximately $25 million to $30 million in capital projects throughout the year. Investments in content development, business expansion and enterprise infra-structure are currently planned. For the first quarter of 2008 we expect the following: First quarter revenue is expected to be within the range of $91 to $95 million which represents 2 to 7% growth. Operating income before depreciation, amortization and stock compensation expense is expected to be between $3 million and $5 million for the first quarter. The $89 million in cash operating expenses implied by the mid-point of our guidance represents a 14% increase from the first quarter of 2007. The $11 million increase suggested by our guidance is mostly a function of annualizing investment made in the second half of 2007 an international media operation and our CNET and business brands. The $89 million in estimated expenses for the first quarter of 2008 is comparable to our fourth quarter 2007 spending. First quarter earnings per share are expected to be within the range of a $0.04 to a $0.05 loss. This estimate also reflects a full GAAP tax rate of approximately 55%. Finally we estimate that first quarter stock compensation expense will be approximately $5 million or $0.02 per share net of tax. On a personal note it has been a pleasure of me to serve as CNET Network’s CFO and to have to opportunity to work with such a talented group of people. I’m particularly proud of how the finance and enterprise IT team have developed. Their capabilities are truly world class. Together we established important planning and controlled processes that will serve the company well. I would like to take this moment to recognize their accomplishments and thank them for their support. I’m confident that CNET Networks will prosper under Neil’s leadership and I believe that Zander will make an excellent CFO who will help this company grow. I look forward to the next stage in my career with great enthusiasm but I know I will miss working with the CNET Networks team. With that I’d like to turn the call back over to Neil.
Neil M. Ashe : We are pleased with our fourth quarter performance as we look ahead to 2008 we have the right management team, asset mix and balance sheet to execute on our business and to continue to create value for all shareholders. Our company is focused, aligned and ready to implement the business strategy that we have outlined: focus on our key brands, alter our business model to reaccelerate revenue growth while at the same time we re-define efficiencies to expand our operating margin and recognize the value of our China business and accelerate its growth. We compete in a fast paced industry where change is constant. Our company has consistently and repeatedly innovated to lead changes in the internet landscape and we are excited to do so again in 2008. That wraps up our formal comments and we would like to turn over to the operator so we can open up for your questions.
Operator: (Operator Instructions) We’ll pause for just a moment to compile the Q&A. Your first question comes from Imran Khan with JP Morgan.
Imran Khan – JP Morgan: Two questions, first I was trying to get a better sense if you have seen any impact or if you’re hearing from your advertisers about any concern about the recession and how that may or may not impact your business. And secondly, I think as we look at your user base can you give us some color like what kind of monetization opportunity you see among that user base, how much improvement you can drive on your revenue part [inaudible].
Neil M. Ashe : As we look out at 2008 we have almost the same crystal ball as everyone else does on the economy and while we recognize that no company is larger than the economy and we all will be affected by it we’ve so far seen limited affect in the first quarter. We’ve seen I would call it lightness but not anything significant across each of our different areas. But, I will not that it has been relatively consistent in the US business that we have not seen in the international business. Our first quarter revenue expectations are affected by a couple of things: lower other marketing services revenues as well as the annualization of some of the affects we’ve talked about from the second, third and fourth quarters of last year with our corporate account. So, we are guarded in our expectations about the economy and advertisers have essentially communicated that same message to us. Then secondly, as it relates to our yield opportunity against our properties, we’ve maintained for a long time that our premium content environments are the most valuable parts of inventory on the web and we’ve both proven that with our RPM. But, at the same time we recognize that there are opportunities to increase that and monetization is not uniform across all of our properties. So, as I said in my prepared remarks we’re considering sales partnerships which allow us to benefit from the advances that have been made in things like behavioral targeting and other relationships which we expect could be an interesting addition to our revenue. Further, as you look at the monetization across our properties we monetize exceptionally well at CNET obviously and we have opportunities in each of our other areas to increase our monetization. We haven’t figured out exactly what the blended affect on RPM would be to that but we are confident in that having a very interesting impact on our revenue growth both this year and into the future.
Operator: Your next question comes from David Joseph of Morgan Stanley.
David Joseph – Morgan Stanley: With revenue growth expected to be 8 to 13% in 2008 but growth in the first quarter expected to be about 2 to 7% it seems like you’re expecting an improvement in the latter part of the year and I just wanted to hear from you what might be driving that? Then also, as you’re talking about these opportunities selling on and off the network, it sounds like you’re pretty much describing an ad network. Are you thinking about a bunch of different individual relationships? Or, a couple of big ones?
Neil M. Ashe : First, on the annualization of our results; yes, the first quarter appears to be lighter than the rest of the year in our current expectation. That’s a result, as I said in the answer to the last question, an annualization of the affects of some of the things that happened to us in the second, third and fourth quarter with some of our large technology accounts that were heavy spenders in the first quarter of 2007. In addition, we expect our other marketing service revenues to decrease in the first quarter of 2008. So, we’re expecting display advertising revenue growth across the company to be baked into those expectations, roughly consistent with where it was in 2007. On your second question around the ad network right now at CNET we’re testing a limited ad network with a couple of partners. We are evaluating the efficacy of both our ability to sell it as well as the packages that work with advertisers and we are testing whether we will have finite ad networks meaning go after a specific category or we expand it larger than that. That evaluation will take us the next three to six months.
Operator: Your next question comes from the line of Kit Spring with Stifel Nicolaus.
Kit Spring – Stifel Nicolaus: I think you mentioned that search declined, I could be wrong about that. Why would that be? Is that due to increased toolbars or something like that? Then, on the departure of George, you made it sound like that was somewhat expected? Was it expected? Or, not? Is this George’s effort or CNET’s? What’s spurring the change?
Neil M. Ashe : First, as it relates to search advertising and that was specifically related to the first quarter of 2008, we had an outstanding year first quarter last year with significant search revenue which is the impact of that and we are working with Google who is our current search provider on our ongoing relationship. Then, as it relates to George, George made a commitment to me when I took over that he would complete the stock option investigation and build a world class finance organization for CNET Networks and he has done that. We are grateful for both those activities; thank you George. This is George’s decision to move forward and test other avenues for his career.
Operator: Your next question comes from the line of Mark Mahaney with Citi.
Mark Mahaney – Citigroup Smith Barney: Neil, I was wondering if I could ask you unfortunately something of a tangent question. There have been some statements made recently about social networks, user generated content sites and challenges greater than expected in monetizing them. Do you have a perspective on that? You obviously no longer have WebShots. To some extent you do have user generated content sites, in fact that’s a fair amount of what CNET is although it’s expert user generated content sites but, any comments on whether those trends have been more sluggish than you would have expected?
Neil M. Ashe : Well, first starting with our properties, as I said before, we have been very consistent in our view and advertisers expectations of the ability for our content rich branded environments to deliver their needs both for marketers of many stripes. So, we are obviously bullish on that value. We said for a long time that we expect there to be – that the market has spoken with a striation of a monetization with social networks in the bottom tier, portals in the middle tiers and then premium properties like ours in the upper tier. So, we’re not wholly surprised by those announcements. Our own experience with WebShots is that we could affectively triple the advertising RPM from when we bought it to when we sold it but it still was not interesting enough for us to continue with. All of this informs our strategy to try and continue to build these category defining brands and really heavy into them and make those individual brands as big as possible. BNET is a great example of that. BNET is very large and we are not monetizing it very well right now just nine months out of the gate. But it’s the kind of branded environment that attracts new advertisers and them to spend. You know I saw call reports from people like Southwest Airlines, American Express and others just in the last week around BNET. So, we have a wide swath of very attractive inventory for these larger branded advertisers and we’ve proven over the last decade or so that these banded properties work.
Operator: You next question comes from the line of Youssef Squali from Jefferies & Company.
Youssef Squali – Jefferies & Company: I have a question about acquisitions or potential acquisitions. It’s been a while since a new acquisition in the US so can you give any color on that and what’s holding you back and how are valuations turning in this space?
Neil M. Ashe : We have a history of being an industry consolidator and we are desirous of being an industry consolidator going forward and many of the changes that we are making in the organization now are so that we can realize scale over the next several years. You accurately hint that we found in the US over the course of the last 12 to 18 months a disconnect between private market expectations and public market values which have made the properties that we’d like to acquire very expensive. So far that hasn’t changed but we expect it to if economic trends continue. So, if that happens we will again attempt to go on the acquisition prowl in the US. We would look for, in additional to the obvious kind of bolt-on opportunities to our existing properties. We’d further look for larger businesses that could change the makeup of the company. We have said, as we’ve said before, we’d like to get away from so many small acquisitions and focus on larger opportunities. As we go forward if the valuations correct, as we hope that they will we will absolutely look for acquisition opportunities and we will to make them be significantly added to the growth of the business.
Operator: And the next question comes from the line of Jennifer Watson with Goldman Sachs
Jennifer Watson – Goldman Sachs: Can you discuss where you think the greatest opportunity is in terms of the display, advertising on the sites whether it’s from increasing your share of wallet of your existing advertisers or basically bringing in new advertisers?
Neil M. Ashe : It varies based on our different properties. Frankly, we’re in different stages of development so at CNET for example it is obviously continuing to expand the share of wallet but it’s also more importantly brining on new advertisers as we continue to expand the range of advertisers which are relevant there. As you get to BNET or our entertainment properties, there are less obvious specific endemic advertisers and more obviously a lot of new advertisers so I think that will drive the display growth in business and entertainment through bringing in new advertisers to the properties. We expect in the year, in our core categories of pretty much as we’ve seen over the course of the last year, the gains cycle is in our favor for gains advertisers. We’ve had real success with the consumer electronics category with CNET so those are our largest areas of expectations right now.
Operator: And your next question comes from the line of Lloyd Walmsley with Thomas Weisel Partner.
Lloyd Walmsley – Thomas Weisel Partners: I was wondering if you could comment a little bit more specifically with what you all might be able to do with your assets in China? Would you consider an outright sale of those assets and are there any government related hurdles to doing that or generally operating in China that you see as an American company? Then, I was also wondering if you could just comment, it sounds like BNET and CHOW which are two somewhat emerging brands are going to be focuses in part of your core, what sort of levels of investment is that going to require this year in terms of operating at negative contribution margins?
Neil M. Ashe : First on China, as we’ve said we’re very proud of what we’ve built in China with the leadership position in technology, a leadership position in autos, a developing positioning in lifestyle and a proven ability to enter new categories. We think we have built a very valuable business that has a lot of room for growth and we want to capitalize on that. As I said in my remarks, we are considering taking on local capital in our China business to accelerate that growth. We continue to see acquisition opportunities which are attractive and we believe that there is real growth. So, our areas of focus right now is to take capital to grow that business and that will decide based on the terms of that capital as well as our desire to continue to put – we could always continue to put the capital to work ourselves if it came to that. Our expectation right now isn’t that there would be an acquirer of our China business. Our expectation is that we have a lot of room for growth and we want to realize that growth. As it relates to the developing property of BNET and CHOW both BNET and CHOW will operate at a slight loss this year, our expectations are in 2008 as we continue to invest. We have different opportunities at each of BNET and CHOW. First, at BNET we have obviously dramatically grown our traffic there in one of the higher value segments on the web. So, we are heavy into BNET and we are excited about BNET and you will see continued development on that property as we continue to provide the resources necessary, as I said earlier, for action oriented business professionals to be successful. So, look for us to have product innovation over the next three to six months on BNET. Conversely, CHOW in the food market is a smaller opportunity then BNET but we’re very proud of the product that we have produced at CHOW. It’s clearly the coolest food site out there and clearly has demonstrated the ability to innovate but on an absolute basis the BNET opportunity is larger than the CHOW opportunity.
Operator: Your next question comes from the line of [Kai Zagala] with Banc of America.
[Kai Zagala] – Banc of America Securities LLC: It seems that you renewed your contract with Google which was up for renewal I think late 07. I was wondering if you could talk about the length of your renewal and any color on whether the search economics were better or worse? Then, just a separate question on selling off network inventory, I was wondering if you had any publisher partners signed up there?
Neil M. Ashe : First as it relates to our search relationship, we have had a long and profitable relationship with Google and we are in the process of continuing that long and profitable relationship with Google. We won’t obviously break out specifics for that contract but, they are clearly the industry leader. They clearly monetize better and they are the largest player in the industry. So while they are very, very good partner of ours I would say it is accurate that they have more negotiating leverage in any renewal than we do. The second question as it relates to the off network advertising at CNET we acquired a small business called TechTracker Media in the fourth quarter. I believe we closed in the late third quarter, early fourth quarter of last year and we are testing the ad network that they had existing. So, with smaller sites like O’Reilly Media and others we are testing that. We are also testing our ability with advertisers to expand in categories at CNET where we have very strong relationships and they have strong desires to expand their spend. More to follow on that over the course of the next three to six months as I said earlier but, we’re evaluating that opportunity.
Operator: Your next question comes from the line of Clay Moran from Stanford Group.
Clayton Moran – Stanford Group: You gave us a little bit of details on the potential creation of a vertical ad network but I think you also mentioned using an ad network to monetize some of your own inventory. Can you give us a time frame there? And also potentially what percent of your inventory you might monetize that way? Also a couple of quick clarifications, I thought George had said search revenue was down in the fourth quarter, Neil you said it was the first quarter. Can you clarify what the search revenue was in the fourth quarter? And also can you clarify what other marketing services are?
Neil M. Ashe : On the first question and this is very important for semantics so I’ll give you exactly how we refer to that. Other people selling our network we generally refer to as yield management and us selling other peoples inventory we refer to as an ad network. So first on the yield management front, I think that we are obviously unique in our size and scale and ability to impact other ad networks. We believe that the advances in behavioral targeting and other elements of the platforms of the portals have given them the opportunity to start to effectively monetize a portion of our inventory. We think that is a small minority, you know no more than 10 to 20% of our inventory. The advantage to them obviously is that our properties perform and our users perform better than almost anyone on the web. The advantage to us is that it helps our yield management strategy and so that’s what we will pursue on that front. As it relates to clarification on the search, George do you want to take that one?
George Mazzotta : Sure. For the fourth quarter what we said in our marketing services revenue is that it grew by 11% driven mostly by a 20% increase in display media. Other marketing services revenue declined by about 16% mostly because of the search revenue. Search revenue in total probably represents around 9% of the total revenue.
Neil M. Ashe : Then the clarifying question he asked on what is in other marketing services that’s anything other than display media, revenue that runs on our properties. So for example Leads CNET, search, etcetera, things like that.
Operator: And your next question comes from the line of Heath Terry with Credit Suisse.
Heath Terry – Credit Suisse: I was wondering if you could give us an idea of what kind of impact you’re seeing directly in the GameSpot business as we’ve gone into this console cycle? And what your expectations are for this year as now all the consoles are launched, we had the first big Christmas what might be a slower year for game ads spending overall?
Neil M. Ashe : As we’ve said our game revenues largely come from publishers and their function of title releases as well as the installed base that defines their target market. So the more installed units there are out there the better for us and the more launches the better for us. With regards to our gaming publishers, we had very good third and fourth quarter each up over 20% on game publisher revenue. Conversely in the first quarter there aren’t a lot of new titles in the first quarter and some of those like Grand Theft Auto for example have been pushed into the second quarter. So our expectations are that we will be up double digits with our game publisher advertisers this year. And, ultimately our revenues will be determined basically by what they define as their addressable market. So we are heavy advocates of there being a large installed base of every console possible to drive publisher revenues.
Operator: And there are no further questions at this time.
Neil M. Ashe : Well thank you all for your participation and thank you for taking the time to understand CNET Networks. We appreciate the opportunity to tell you about our company, tell you where we’re going and tell you how we think we can continue to create value for all shareholders at CNET Networks. Thank you all very much and we will talk to you again in 3 months.
Operator: And this concludes today’s CNET Networks fourth quarter financial results. You may now disconnect.